Operator: Good morning and welcome to the Endava Fourth Quarter and Fiscal Year 2022 Results Conference Call. All participants will be in listen-only mode. [Operator Instructions] After today’s presentation, there will be an opportunity to ask questions. Please note, this event is being recorded. I would now like to turn the conference over to Laurence Madsen, Head of Investor Relations. Please go ahead.
Laurence Madsen: Thank you. Good afternoon, everyone, and welcome to Endava's fourth quarter and fiscal year 2022 conference call. As a reminder, this conference call is being recorded. Joining me today are John Cotterell, Endava's Chief Executive Officer; and Mark Thurston, Endava's Chief Financial Officer. Before we begin, a quick reminder to our listeners. Our remarks today include forward-looking statements, including our guidance for Q1 fiscal year 2023 and for the full fiscal year 2023 and statements regarding our perceived opportunities and anticipated future growth and geographic expansion. Our expectations regarding digital transformation of businesses and industries, and our industry trends. The necessity of digital transformation for many companies and Endava's ability to benefit therefrom, potential technological advances, our expectations for future partnerships, and ability to expand our existing relationships, anticipated client demand for Endava services, our ability to attract and retain employees and be the employer of choice in multiple geographies, and our ability to execute on our sustainability objectives, as well as other forward-looking statements. These statements are subject to risks and uncertainties that could cause actual results to differ materially from those contained in the forward-looking statements. Actual results, and the timing of certain events may differ materially from the results or timing predicted or implied by such forward-looking statements and reported results should not be considered as an indication of future performance. Please note that these forward-looking statements made during this conference call speak only as of today's date, and the company undertakes no obligation to update them to reflect subsequent events or circumstances other than to the extent required by law. Please refer to the Risk Factors section of our annual report filed with the Securities and Exchange Commission or the SEC on September 28, 2021, and in any subsequent filings we have made with the SEC, which contains a discussion of important factors that could cause actual results to differ materially from those contained in any forward-looking statements. Also, during this call, we'll present both IFRS and non-IFRS financial measures. A reconciliation of non-IFRS to IFRS measures is included in today's earnings press release, which you can find on our Investors Relations website. The link to the replay of this call will also be available there. With that, I'll turn the call over to John.
John Cotterell: Thank you, Laurence. I'd like to thank you all for joining us today and I hope you're all well. We're pleased to be here to provide an update on our business and financial performance for the three months ended June 30, 2022 and for the full 2022 fiscal year. We continue to be in a strong demand environment, despite continued global macroeconomic uncertainty and volatility.  Given the current environment, I'd like to highlight that we remain focused on leading companies with strong balance sheets helping them to be more agile and react faster to market changes. We see them continuing to invest in driving change, while our exposure to startups and the crypto industry continues to be low. For the quarter, and the full fiscal year ended June 30, 2022, I'm pleased to report Endava's business remains strong across all our verticals and locations. Before going into the details of our latest results, I'd like to start by putting our growth in perspective. It has been just over four years since we became a public company, with our listing on the New York Stock Exchange. And it is with great pride that I look back at our accomplishments since then. Since we listed in July 2018, we have tripled revenues from £217.6 million for the fiscal year 2018 to £654.8 million for the fiscal year 2022. At the same time, we have significantly progressed our object of diversification, moving from a concentration of 79% in the UK and Europe in fiscal year 2018 to 62% for fiscal year 2022 and seeing North America grow from 21% of revenue to 35%, and rest of the world commence now at 3%. We've also diversified our delivery footprint, which moved from 82% of our people in Central Europe to 76%, most of which is in NATO countries. With LATAM now 17%, compared to 14% in fiscal year 2018, supporting our near-shore delivery for our growing North American business. Our total headcount has grown by 146% from 4,819 in June 2018 to 11,853 in June 2022. This strong headcount growth came with a solid increase in revenue per operational person from £55,000 in fiscal year 2018 to £69,000 in fiscal year 2022, a very strong trend and a real demonstration of the growth in value delivered to our customers by Endava. It is worth reflecting that at the time of IPO, we set a medium-term adjusted PBT margin target of 17% from a fiscal year 2018 reported figure of 15.4%. Since IPO, we have annually achieved an adjusted PBT margin in excess of 17% and we ended fiscal year 2022 with a margin of 21.1%. As we look to the next four years, we aim to continue this level of growth with revenue tripling again. We will continue to diversify our client footprint, both in the geographies we operate in and in the industry mix across the business. Driving the shift is the acceleration in our target industry is driven by new and emerging technologies. As we scan the horizon for technologies that we believe will have a significant impact on our business, we are building a picture of how technologies such as autonomous vehicles, cobots, and frictionless payments may have a broad impact on multiple verticals.  We believe 5G technologies, as well as new devices providing broader access to the [Metaverse] [ph] will revolutionize the experiences individuals will have, bringing people together in ways that will enhance the requirement for seamless commerce experiences. Further forward, we see an increasing impact on our verticals with the broader adoption of language prediction model-based AI integrated alongside traditional technology, leading to innovation in human centric tasks that require deep understanding of language. We will also continue to further diversify our delivery footprint to see a higher proportion of work delivered from LATAM and Asia Pacific. Together, these shifts will enable a more balanced, scaled, and impactful operation, making us even more attractive to the large enterprise customers that we target. Moving now to this current quarter and annual results. Endava reported revenue of £180.4 million for Q4 of our fiscal year 2022, representing a 35% year-on-year increase from £133.6 million in the same period in the prior year. We ended the quarter with an adjusted profit before tax for the period of £36.2 million, representing a 23.5% year-on-year increase from the £29.3 million in the same period in the prior year. Our strong revenue growth continues to be driven by both the expansion of work for our existing clients and the acquisitions of new ones during the quarter. We continue to scale existing projects and accounts to drive the growth of larger clients and increase the spend by these clients. We ended the quarter with 732 active clients, up from 615 at the end of the same period in the prior year, a 19% year-on-year increase. Importantly, we continued growing the number of larger clients with a total of 134 clients paying us in excess of £1 million per year, compared to [£85 million] [ph] in the same period last year, representing an impressive 57.6% year-on-year increase. Additionally, the average spend of our Top 10 clients continues to grow strongly and was up 21% year-on-year in the three months ended June 30, 2022. Moving on to our results for the full fiscal year 2022, we reported revenue of £654.8 million, representing a 46.7% year-on-year increase. In the last fiscal year, we grew nicely in all our regions and verticals. Our strong revenue growth continues to translate into strong profitability and we ended the year with an adjusted PBT margin of £138.3 million, compared to £92.1 million in the fiscal year 2021. Today, I'd like to highlight some of the work we're doing for our clients in the financial sector. In the banking sector, there is a strong move towards the provision of extensible API based platforms rather than large single purpose monolithic applications. API-based platforms increase organizational agility and allow banks to offer an evolving range of services through a single integrated platform and better compete with new fintech entrants to their markets. An example is the move by a number of banks to offer a range of integrated digital first banking services. Our proven skills in developing flexible API-based solutions have allowed us to work with a range of organizations on their journeys to create application platforms for their businesses. For instance, we are working with a top U.S. bank on building a full suite of software design, engineering, testing, and integration services for a new cloud-based digital banking product that will eventually offer a new generation of lending and deposit products. We're also working with Primis Bank based in Virginia and servicing individuals and SMEs. Primis embarked on a greenfield implementation of a digital core platform, and this new cloud-based tech stack will allow for broader product offerings, greatly enhance speed to market and expanded geographic boundaries. We are helping them with this transformation effort by providing solution architecture, system configuration, engineering, and overarching domain expertise. First Bank, headquartered in Colorado and serving the Southwest region of the U.S. is undergoing payments modernization and is leveraging Endava's domain expertise to guide their product strategy and technical approach to the work. In addition, First Bank is leveraging our architectural and engineering expertise to execute on implementation. In addition to working directly with these financial institutions, we are also partnering with companies such as Backbase and Snowflake in order to facilitate the modernization of these banking platforms. We help the asset management industry address the challenges of fee compression, flattening returns, regulatory pressure, and evolving distribution models by enabling their platforms to be future proof through designing and building real time data platforms, self-service reporting solutions, and advanced trading analytics, which together facilitate enhanced predictive decisioning for the front office and enable rapid automated reporting to clients and regulators alike. We're working with Royal London Asset Management to establish their central data platform, to provide a cloud-based central data spine, that acts as a central source for all the firm's data needs to serve the business for years to come as regulation and products evolve. With Janus Henderson, we are consolidating reporting onto a modern cloud-based platform, which delivers self-service efficiencies and data visualization to gain additional insights across the business operations. Market infrastructure providers are having to modernize their platforms, due to the ever-increasing complexity and real-time demands. Some recent high-profile outages are forcing the industry to modernize technology stacks. This is forcing large legacy replacement, as well as innovation brought upon by crypto tokenization of assets and the more forward-thinking incumbents driving ahead with blockchain tokenization, and expanded offerings based on digital technologies. We, have been designing, building, and evolving an award-winning cloud-based derivatives trading platform for TP ICAP, a world-leading provider of market infrastructure and information. Branded Fusion, the platform encompasses everything from market connectivity to tailor-made matching engines and algorithms to high performance UI for a consistent responsive user experience for brokers and clients alike. We also have a rich heritage of working with hedge funds, helping with their innovation in gaining competitive insights through the front office decisioning process. We work with [comp firms] [ph] on data warehouses supporting third-party structured and unstructured data, trading strategies, and modeling sitting at the heart of their business. In the U.S., we're working with a leading alternative investment firm helping define and drive their data strategy alongside the modernization of their core architecture. Our experience and credentials in the financial industry continue to gather momentum and we believe we offer our clients the ability to differentiate their offerings, despite the rigid frameworks and controls that they need to operate within. Over the last five years, 88.6% of our revenue on average was generated from clients in the previous year. We take client satisfaction extremely seriously, and we have in place a customer satisfaction program known as CSAT that reaches out to our clients and allows for systematic feedback. We have a dedicated customer experience team who analyze and manage the feedback to constantly help create the best service experience for our teams and clients. Our latest CSAT survey reported a 95% likelihood of repurchase. We continue our geographical expansion and diversification. While competition for talent remains intense, we remain very successful in recruiting the people we need and our attrition rate remains low. We are continuing to expand our team in LATAM with strong recruiting in Mexico, and we recently opened a new office in Cali, Columbia. We are also moving along with our global expansion and expanded our footprint in Australia with a new office in Brisbane. We have an ongoing commitment to make a positive impact in support of our people, customers, and the communities where we operate, and we are delighted to share an important milestone in our We Care Sustainability Journal. We have been awarded a bronze medal by EcoVadis in recognition of a very good ESG performance, placing us in the top 50% of companies in our industry. In summary, as demonstrated by our financial results, demand for our services remains strong. We are successfully navigating a challenging global macroeconomic environment and remain excited about the opportunities in front of us and confident in our ability to execute on our objectives. I'll now pass the call on to Mark who will walk you through our financial results for the quarter and provide guidance for the coming quarter and the new fiscal year.
Mark Thurston: Thanks, John. Endava's revenue totaled £180.4 million for three months ended June 30, 2022, compared to £133.6 million in the same period in the prior year, a 35.0% increase over the same period in the prior year. In constant currency, our revenue growth rate was 30.9%. Profit before tax for Q4 fiscal year 2022 was £32.5 million, compared to £18.5 million in the same period in the prior year. Our adjusted profit before tax for the three months ended June 30, 2022, was £36.2 million, compared to £29.3 million for the same period in the prior year. Our adjusted profit before tax margin was 20.1% for the three months ended June 30, 2022, compared to 22.0% for the same period in the prior year. Adjusted profit before tax or adjusted PBT is defined as the company's profit before tax adjusted to exclude the impact of share-based compensation expense, amortization of acquired intangible assets, and realized and unrealized foreign currency exchange gains and losses, all of which are non-cash items. Adjusted PBT margin is adjusted PBT as a percentage of total revenue. Our adjusted diluted EPS was [£0.51] [ph] for the three months ended June 30, 2022, calculated on 58.0 million diluted shares, as compared to [£0.41] [ph] for the same period in the prior year calculated on 57.5 million diluted shares. Revenue from our 10 largest clients accounted to 32% of revenue for the three months ended June 30, 2022, compared to 36%, the same period last fiscal year. Additionally, the average spend per client from our 10 largest clients increased from £4.8 million to £5.8 million for the three months ended June 30, 2022, representing a 21.0% year-over-year increase. In the three months ended June 30, 2022, North America accounts for 35% of revenue, compared to 37% in the same period last fiscal year. Europe accounted for 22% of revenue, compared to 21% in the same period last fiscal year, and the UK accounted for 40% of revenue unchanged from the same period last fiscal year, while the rest of world accounted at 3%, compared to 2% in the same period last fiscal year. Revenue from North America grew 27.0% for the three months ended June 30, 2022 over the same quarter of fiscal year 2021. Comparing the same periods, revenue from Europe grew 42.6%, the UK grew 36.8% and the rest of world grew 63.0%. We grew in all three of our industry verticals during the quarter. Revenue from payments and financial services grew 34.3% for three months ended June 30, 2022. Revenue from payments and financial services accounted for 51% of revenue unchanged compared to the same period last fiscal year. Revenue from TMT grew 32.5% for the three months ended June 30, 2022 of the same quarter of 2021 and accounted for 25% of revenue unchanged compared to the same period in the prior year. Revenue from other grew 39.1% for three months ended June 30, 2022 over the same quarter of 2021 and now accounts for 24% of revenue unchanged, compared to the same period in the prior year. We now turn to our adjusted free cash flow, which is our net cash provided by operating activities, plus grants received, less net purchases of non-current tangible and intangible assets. Our adjusted free cash flow was £43.4 million for the three months ended June 30, 2022, compared to £32.6 million during the same period last fiscal year. Our cash and cash equivalents at the end of the period remained strong at £162.8 million at June 30, 2022, compared to £69.9 million at June 30, 2021. CapEx for the three months ended June 30, 2022 as a percentage of revenue was 2.1%, compared to 1.2% in the same period last fiscal year. I'd now like to move on to some highlights for our fiscal year 2022. Endava's revenue totaled £654.8 million for the fiscal year 2022, compared to £446.3 million in the previous fiscal year, a 46.7% increase over prior year. In constant currency, our revenue growth rate was 47.6%. Profit before tax for the fiscal year 2022 was £102.4 million, compared to profit before tax of £54.4 million in the prior year. Our strong revenue growth continues to translate into solid profitability and our adjusted profit before tax for the fiscal year 2022 totaled £138.3 million, compared to £92.1 million in the prior year, a 50.2% year-over-year increase. Our adjusted profit before tax margin was 21.1% for the fiscal year 2022, compared to 20.6% for last year. The year-over-year improvement in our adjusted profit before tax margin is mainly due to continued positive pricing environment and control of SG&A expenses. Our adjusted diluted EPS was [£1.93] [ph] for the fiscal year ended June 30, 2022, calculated on 58.0 million diluted shares as compared to [£1.30] [ph] for the previous fiscal year calculated on 57.1 million diluted shares up 48.5% year-over-year. Revenue from our 10 largest clients accounted for 34% of revenue for the fiscal year ended June 30, 2022, compared to 35% for the previous fiscal year. Additionally, the average spend per client from our 10 largest clients increased from £15.6 million to £22.2 million, up 42.1% year-over-year. We grew in all geographies on a year-over-year basis with North America, up 62.8% year-over-year, Europe up 27.8%, UK up 44.8%, and the rest of the world up 59.0%. On a year-over-year basis, revenue from payments and financial services increased 46.6%, TMT increased 35.1%, and other increased 61.2%. The year-over-year growth in other came mainly from Mobility, Retail and Healthtech. Our adjusted free cash flow was £107.2 million for the fiscal year ended June 30, 2022, compared to £82.7 million, during the same period last year. CapEx for the fiscal year ended June 30, 2022, as a percentage of revenue, was 2.1%, compared to 1.2% during the same period last year. Our guidance for Q1 fiscal year 2023 is as follows: Endava expects revenues to be in the range of £191 million to £193 million, representing constant currency revenue growth of between 22% and 24%. Endava expects adjusted EPS to be in the range of £0.50 to £0.51 per share. Our guidance for full-year fiscal year 2023 is as follows. Endava expects revenues to be in the range of £840 million to £850 million, representing constant currency growth of between 23% and 24%. Endava expects adjusted diluted EPS to be in the range of £2.35 to £2.38 per share. This above guidance for Q1 fiscal year 2023 and the full fiscal year 2023 assumes the exchange rates at the end of August 2022, when the exchange rate was [1 British Pound to 1.17 US Dollar and 1.16 Euro] [ph]. This guidance seeks to take into account potential macroeconomic headwinds. This concludes our prepared comments. Operator, we are now ready to open the line for Q&A.
Operator: Thank you. [Operator Instructions] Our first question comes from Bryan Bergin from Cowen. Please go ahead.
Zack Ajzenman: Hi, thanks. This is Zack Ajzenman on for Brian. Just wanted to pick up on that last comment on the macro considerations that were embedded in the fiscal 2023 guide and hoping that you can provide some more color there. Was there an extra level of conservatism embedded in the guide just given kind of the lack of visibility in the second half of the year, and perhaps just some color on the revenue trajectory over the course of the one half versus the second half of the year?
Mark Thurston: Sure. Thanks, Zack. Yes, I mean, we did look forward as we were putting the guide together and just take into account the fact that there's increasing macro uncertainty out there. And therefore, just pulled back a little bit to a sensible level. I have to say that today in terms of the operation of the business, we're not actually seeing any of those impacts, we're still seeing strong demand coming through. But looking out 12 months, I suppose 9 months now, we did take the view that we should just scale it back a bit. Anything you want to add on?
John Cotterell: Yes. I mean, Zack, we have our normal forecasted process where we look at contracted and committed and pipeline. The visibility remains as it always has, which is strong, six months ahead. So, we have confidence very much into March. It gets a little bit less visible, let's say, that's 6 months to 9 months, but the guides will reflect that.
Zack Ajzenman: Got it. That's helpful. And just a follow-up on gross margin. Just hoping for more color on perhaps the considerations for the fiscal year as we think about pricing and wage inflation and the dynamics going on there. Any color on that front, please?
John Cotterell: Sure. I think this [indiscernible] hasn't been much actual change in terms of the outlook for wage pressure and pricing. I mean, our Q4 gross margin basically reflected us building bench, you [think about] [ph] we've come out of an odd time with COVID, etcetera, where we had very strong demand and as a consequence had a pretty low bench, and we believe that we need to rebuild that bench back to levels pre-COVID. So, the gross margin that we're using in Q4 were at 37.8 on an adjusted basis, basically reflects about a percentage point of rebuilding that bench. And we anticipate and is included in the guide for Q1, we will still continue to build that bench up to levels that we saw pre-COVID. So, I think in terms of the near-term outlook, we will see a gross margin stepping up from Q4, but as we progress through the year, certainly the second half, we will be in that 40%, 41% gross margin.
Zack Ajzenman: Great. Thanks very much.
Operator: The next question comes from Mayank Tandon from Needham. Please go ahead.
Kyle Peterson: Hey, morning guys. It's actually Kyle Peterson on for Mayank. Appreciate you guys taking the question. Just wanted to touch a little bit on wage inflation and attrition, kind of a two-part question. Has that changed at all, I know looks like you guys are rebuilding the bench a little bit and appreciate the color on that, but how much of the gross margin pressure at least in the last two quarters has been whether it's wage inflation and merit increases versus rebuilding that bench?
John Cotterell: Sure. Thanks. Yes, I mean, the wage inflation and attrition pressures that were running as we were at the height of that growth 6 months to 12 months ago has definitely come off the peak. So, wage inflation is actually pretty much normalizing to historic levels and our attrition is falling again. So, we were around 12.7% in Q4, which was down on the position we had in Q2. So, from a staff point of view, actually just adding recruitment to it, the access to good people, the wages that we're paying and the attrition levels that we're experiencing are normalized back towards pre-COVID levels.
Kyle Peterson : Great. That's really good to hear. And just a quick follow-up, particularly in the UK revenue. I guess it looked a little light on a sequential basis to us. Obviously, I know the comps are pretty tough from last quarter, is there anything else going on there either in a macro or demand perspective or is that just, kind of tough comps and looking at sequentially is a little wonky quarter-to-quarter?
Mark Thurston : Did you say U.K. revenue there?
Kyle Peterson: Yes.
Mark Thurston: No, I think, I mean, the year-on-year growth was 37% in the quarter. Demand remains strong. So, [indiscernible] so I'm not seeing the slight slowdown that you're referring to.
Kyle Peterson : Alright. That's helpful. Thanks guys
John Cotterell: Thanks a lot.
Operator: The next question comes from Maggie Nolan from William Blair. Please go ahead.
Maggie Nolan: Thanks. Hi. I wanted to follow-up on that gross margin question from earlier. Last year you, kind of successfully balanced that gross margin decline with some declining SG&A as a percentage of revenue, can you give some insight into what dynamics you're expecting for the coming fiscal year on SG&A in particular?
Mark Thurston: Yes. So, SG&A, we've done a very good job historically in leveraging over it. So, part of the – if we refer to Q4, the PBT, we kept our adjusted PBT margin of 20.1% as you pointed out, Maggie, we had a slight dip in gross margin, but SG&A was pretty low about 15.5%. There are, you know sort of one-off reasons for some of that, but we expect the SG&A to, sort of pick up. as we go through FY 2023, there'll be increased spending on sales and marketing, and we anticipate also some corporate development activity as well. So, the SG&A I think is a low point of [15.5% in Q4] [ph]. I don't anticipate it being at that level going forward. And I think the Q4 gross margin that we reported for Q4, I think things will pick up from here. We'll see a little bit of near-term pressures as we will rebuild that bench, but I think we'll, this is a, sort of low point and we will rebuild back to the 40%, 41% in the second half of the fiscal year.
Maggie Nolan: Okay, thank you. And then, John, you gave some comments about the client portfolio, it seems like there's an emphasis on maybe growing some larger accounts. You talked about low exposure to startups, but can you talk a little bit more about how you're assessing risk in that client portfolio areas like where you have about a quarter of revenue tied to private equity?
John Cotterell: Can you just repeat that last bit again?
Maggie Nolan: I'm trying to reconcile, kind of you mentioned the low exposure to start-ups amongst your client base with comments you've made in the past about how you have a, roughly a quarter of revenue tied to private equity?
John Cotterell: Sure. Okay. So, the PE firms that we tend to be working with are the larger Pes who essentially bought large companies and are putting them through a transformation program. So, actually in the payment space, in the insurance space and some other sectors. They're actually fairly large businesses or in some cases very large businesses that have been acquired by some of the large PE firms. Whereas start-ups, we think of as big businesses that have been around for five years or so or less, and actually, our exposure to those businesses is pretty low.
Maggie Nolan: That's helpful. Thank you.
John Cotterell: Thanks Maggie.
Operator: [Operator Instructions] Our next question comes from James Faucette from Morgan Stanley. Please go ahead.
James Faucette: Great. Thank you. I wanted to ask a couple of things related to engagement and hiring generally, can you talk about if and how your customers are responding to, kind of the volatility in FX rates and if that's impacting how they're evaluating project scope and details if at all?
Mark Thurston: So, we're not seeing any client sensitivity to FX rates and their decisions on progressing with projects. I mean, a lot of our clients are very global organizations in – by nature. And so, they may switch from investing in a project in one currency to another. And we've seen a little bit that, not that much, but actually, the sensitivity to FX rates doesn't seem to be impacting their decision making on both progressive projects. I mean, the environment that we're experiencing is that there are a small number of clients who are trimming or delaying, but that's balanced, more than balanced by others who are accelerating their path to production and growing spend with us. And we're not seeing under the surface of that any particular geographic sensitivities. We're not seeing sensitivities to FX rates just across the portfolio, across the industries we're seeing [indiscernible].
James Faucette: That's helpful. And then on the hiring side, I think you made comment that you were seeing wage inflation and that, kind of thing return back to normalized levels, can you just give a little more color on the hiring environment more generally? And is roughly 30% headcount growth still the maximum you’d feel comfortable with? And how are you thinking about your current recruiting algorithms?
John Cotterell: Yes. So, in terms of hiring, and the rates that we're paying in the market, it is normalizing, stabilizing back to pre-COVID levels, i.e., before that surge of activity that was driving high rates, high changes in the market, and we’re also seeing the effect of that more normalized environment on attrition rates, which are dropping again. In terms of the range at which we're comfortable growing our headcount, we do see 30% as being [sensible max] [ph]. We had a short period as we accelerated out of COVID, where we pushed it above that level. And that was because we had a more senior organization because we've grown slower for a couple of quarters as COVID hit, but we carried on promoting people. And that gave us the ability to just surge a little bit past that 30% headcount growth during that period, but that is no longer in the bag. And so, we see 30% headcount growth going forward as being our sensible organic growth maximum. That does convert to slightly higher revenue growth because we see rate rises coming through with clients still. And so, our maximum organic growth pushes a little bit higher than that 30% headcount growth.
James Faucette: That's really helpful. Thanks a lot.
John Cotterell: Thanks James.
Operator: There are no more questions in the queue. This concludes our question-and-answer session. I like to turn the conference back over to John Cotterell for any closing remarks.
John Cotterell : Thank you, and thank you all for joining us today. As you all have noted, demand for our services remains strong. We're seeing good demand right across all our verticals and geographies. And so, we remain positive about the business position despite the macro uncertainty. And we look forward to speaking to you in a month and a half or so on our next earnings call. Thank you.
Operator: Conference is now concluded. Thank you for attending today's presentation. You may now disconnect.